Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:05 Good morning, ladies and gentlemen, and welcome to the Rogers Sugar First Quarter 2022 Results Conference Call. After the presentation, we will conduct a question-and-answer session, which will be opened only to financial analyst, instructions will be given at that time. Please note that this call is being recorded today, February 10 at 8:00 Eastern time. 00:26 I would now like to turn the meeting over to Mike Walton. Please go ahead, Mr. Walton.
Michael Walton: 00:35 Thank you, operator and good morning, everyone. Joining me for today's call is Jean-Sebastien Couillard, VP, Finance and CFO. During today's call, I will review the first quarter results of 2022 and trends in our industry. Please be reminded that today’s call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. 01:08 Please also note that we may refer to some non-GAAP measures in our call. Please refer to the forward-looking disclaimers and non-GAAP measure definitions included in our public filings with the Securities Commission for more information on these items. A replay of this call will be available later today. The replay numbers and passcodes have been provided in our press release and an archived recording of this call will also be available on our website. 01:35 I would like to start off this call by underscoring our continued positive outlook for the business for fiscal 2022, despite some headwinds in the first quarter, which impacted sales. Our full year sugar volume guidance remains unchanged, as we expect to make up delayed volumes from the first quarter over the next three quarters. And while volatility will likely continue in the coming months, overall, we expect underlying demand for sugar to remain strong, as retail inventory levels return to pre-COVID norms. 02:09 Additionally, we anticipate that improved pricing and a successful harvest season in Taber will lead to improved profitability over last year. Our outlook for the Maple business also remains positive and our demand expectations for the year have not changed. We expect to recoup inflationary increases as we renegotiate contracts and expect to see improved margin, margin growth and profitability from the last fiscal year. 02:39 Moving on now to the impacts from COVID 19 and some of the global and industry-wide challenges we've been facing over the past several months. In the latter half of December, as Omicron transmission grew and the number of community cases increased, we took steps to uphold our rigorous health and safety standards. We deployed rapid test of all employees for a safe return to work after the holiday season, while also increasing our masking requirements to N-95s in any plant that had an outbreak. 03:09 In addition our internal COVID committee, which includes a working group of nurses, site leadership and our Executive Committee continue to meet twice-weekly to discuss the evolving conditions, and decide how best to ensure worker safety and uninterrupted operations. In the first quarter of 2022, our overall investment in health and safety measures related to the pandemic was lower than the same time last year. We expect cost to lower over time however, they will continue to be affected by changing case loans. Costs have been trending downward over the past year and absent a surge of community cases we expect this trend to continue. 03:51Our people have continued to manage and operate our business reliably and capably despite the prolonged and everchanging impacts of COVID on our operations. I am very proud of the care and thoughtfulness demonstrated by our employees and their commitments to deliver essential ingredients to those who depend on us. While we have managed to avoid any material COVID-related shutdowns to-date, a number of our industrial customers have not been so fortunate. 04:21 Towards the end of the calendar year, our sugar volumes lowered as a result of unexpected reductions in demand, as labor shortages caused shutdowns at some customer facilities. The volatility caused by Omicron has led to global supply chain impacts, various, carrier shortages and inflationary increases which affected our operations in the first quarter in. 04:40 In addition to the impact of COVID-19 our supply chain was affected by the floods in British Columbia, which caused the longer lasting impact than initially expected. We are monitoring the impacts on our supply chain and inflationary increases in international freight, local freight, packaging and warehousing. These increases are largely captured in future Maple contract renewals and have lesser impact on our sugar business as we are FOB seller. 05:12 Let's turn to our first quarter results. Adjusted EBITDA in the first quarter was impacted by several external factors that led to results below our internal expectations and a reduction from the same quarter last year. In addition to the impact of COVID-19 and natural disasters on demand and shipping costs adjusted EBITDA lowered as a result of a lag in passing through increased costs in the Maple business and increased non-cash administration expenses. 05:40 Now starting with our Sugar business. Our sugar volumes reached 180,000 metric tonnes in sales, approximately 10,000 metric tonnes lower than last year, largely due to lower demand in our consumer and industrial segments. Our consumer business lowered by 6,000 metric tonnes as COVID related demand lowered and retails reduced previously built up inventory levels to more historic norms. As well the impact of the B.C. floods and the extended road closures carried over into the first quarter, and led to a loss of specialty product sales in some markets in the floods (ph). Given the extremely poor road conditions in Western Canada following the floods, we temporarily suspended the transportation of some specialties sugar product categories to protect the safety of workers who transport our products. 06:35 Our Industrial business segment lowered by 3,600 metric tonnes, primarily due to the impact of increased COVID cases, especially in the last two weeks of December. Several large client space staffings shortages which limited production capacity and cause some customers to unexpectedly delay the shipments. Growth in our liquid business partly offset these lower volumes, with an increase of 3,000 metric tonnes from the same period last year and from increased sales from new and existing customers. 07:06 As expected, our export business decreased by 3,800 metric tonnes from the same quarter last year, when we took advantage of a one-time opportunistic quota under the ratified Canada, U.S., Mexico, agreement. Despite the lower sales volumes and consumer and industrial, our most profitable business segments, adjusted gross margin improved as a result of higher pricing and increased by-product contributions. Overall, our Sugar segment has been able to adjust quickly to the changing pricing environment and is largely staying ahead of inflationary pressures. 07:45 And finally for sugar, the Taber crop is progressing well, thanks to the early harvest program we implemented last year. This year's harvest season delivered the expected beet volume and the processing campaign is going well. We expect approximately 120,000 metric tonnes of beet sugar to production from this year's campaign. 08:04 In our Maple segment, adjusted EBITDA lower to $3.4 million in the first quarter. This was due to reduced consumer demand, shipping delays and inflationary wage freight and packaging increases. Sales volume decreased in the first quarter as a result of lower consumer sales largely driven by ongoing consumer volatility. Sales volumes were also impacted by delayed shipments due to backlog from global shipping issues. 08:34 A tight labor market, particularly in Quebec, led to higher wage costs in the first quarter which increased our cost structure, but it has also led to improved employee retention in our Maple business. While there can be a lag in passing through these increased costs to our customers as we saw in the first quarter, we continue to negotiate price increases on new contracts and expect to catch up to inflationary impacts as contracts come up for renewal. As well, we continue to see the positive impacts of price increases previously implemented. 09:06 Maple is a global product that is shipped worldwide that continues to have a strong order book. We expect growth to remain firm moving forward, although, at more normalized level from the high sustained during the pandemic. As many of you know last year, Maple production was lower than usual as a result of poor weather conditions. This combined with increased demand from COVID-19 led to a significant drawdown of the strategic Maple reserve while the reserve is lower than typical, we believe there is sufficient capacity to supply the market. 09:39 Following several years of excellent growth including 20% industry wide growth in the last two years, PPAQ has approved 7 million additional taps to help supply the growing global demand for Maple products. Approximately 1.5 million to 3 million of these taps are being installed this year. And we'll will begin to contribute to production in 2022. Spring is a crucial time in the maple syrup production and so it is too early to speak to the 2022 crop, but we expect to be able to update the market at the end of Q2. 10:13 As I mentioned last quarter, global demand for sugar remains strong and we are assessing our current capacity level, future demand and projections and our ability to capture growth opportunities as they occur. Over the next few quarters, we will be evaluating our capacity utilization, production optimization and other potential levers to meet this increased demand 10:37 Finally, I want to again say thank you to our employees. Our employees work responsibly and thoughtfully to meet the needs of our clients and get the critical ingredients they need every day. 10:49 Now, I will turn the call over to JS, who will provide additional information on our quarterly results.
Jean-Sebastien Couillard: 10:56 Well, thank you, Mike and good morning, everyone. In the first quarter of 2022, our adjusted EBITDA was $26.1 million, down $1.6 million from the same quarter last year, due mainly to lower profitability in our Maple segment. As Mike mentioned, our Maple segment was affected by lower sales volumes and higher packaging and labor costs. 11:18 Our Sugar segment was also impacted by lower volumes compared to last year due to ongoing market volatility caused in part by the pandemic. However, the volume shortfall was offset by improved pricing on several key customers negotiated over the recent months. We are expecting overall pricing to continue to improve in 2022, reflecting the current market conditions in Canada. 11:45 Let's begin our review with some comments on our Sugar segment. Sugar sales volume in the first quarter was 180,000 metric tonnes, 10,000 metric tonnes lower than the first quarter of 2021. This was driven by a decrease in consumer and industrial volumes partially offset by an increase in liquid volumes, as well export volumes decreased from the same quarter last year, due to the absence of a one-time U.S. quota opportunity of approximately 4,000 metric tonnes. This opportunity in the first quarter of last year was done under CUSMA and provided us with a healthy contribution to our financial results. 12:22 Our adjusted gross margin was $0.7 million higher in the first quarter compared to last year. The revenue shortfall created by the lower sales volume was more than offset by improved pricing contributing for about $2 million and higher by-product net contribution of $2.7 million. The increase in by-product contribution relates mainly to pricing increases for beet pellets and molasses sales. This improved pricing was market driven, and is expected to continue throughout the year. 12:52 On a per unit basis, adjusted gross margin improved by over $13 per metric tonne to $174 per metric tonne in the first quarter of 2022. This reflects the improvements in pricing and the stability of our operating cost. Administration and selling costs increased by $1.8 million compared to the same quarter last year, primarily as a result of higher share prices, which led to a non-cash increase in share-based compensation expense for the first quarter. 13:21 Distribution costs decreased by $0.4 million in the first quarter despite the tight and difficult supply chain and logistic market. The decrease was due to lower volume of sugar, move between plants to meet customer demand as inventory level at the beginning of fiscal 2022 was higher compared to the beginning of 2021, hence relieving pressure on our supply chain. 13:46 As Mike mentioned, our sugar beet crop is progressing well. We are at the tail end of the processing stage, which is expected to be completed at the end of February. The harvest portion of the campaign provided the expected amount of beets and thus far the quality is aligned with our expectation. At this stage, we anticipate a production of 120,000 metric tonne of beet sugar from our Taber operation. 14:12 We remain positive for the outlook of our sugar business for fiscal 2022. We anticipate that the volume shortfall of the first quarter which principally occurred in the latter part of December will materialize over the next quarters as -- as a significant portion of the variance was due to timing and stronger volume of exports are anticipated in the future. We also want to point out that the return to normal operation for our Taber operating facility along with the current and expected improvement in pricing for large customers will contribute to an improvement of adjusted EBITDA for fiscal 2022, as compared to fiscal 2021. 14:49 Let's now turn to our Maple segment. As discussed earlier, adjusted EBITDA in Maple decreased $1.5 million from the same period last year. The decrease was due to lower volume from reduced demand from existing customers along with timing issues related to supply chain challenges encountered in the quarter. The lower EBITDA was also caused by higher cost associated with packaging material and labor ability challenges. 15:20 Consistent with the element discussed above, adjusted gross margin percentage decreased by 80 basis points compared to the same quarter last year. While our costs were affected by inflationary pressures this quarter, we expect there to be only a short lag until we are able to recoup most of these costs with renewed contracts. 15:36 Administration and selling expenses remained largely unchanged from the prior year period and distribution cost decrease due to the volume reduction. Our outlook for the Maple business segment remains positive for the remainder of 2022, as we anticipate our volume to reach 52 million pounds, which is similar to last fiscal year and is supported by the fact that we haven't had any significant tonnes customer loss since last year and are seeing strong demand going forward. We are expecting that recent price increases negotiated with customers will improve our quarterly EBITDA. 16:12 Now, I would like to highlight other related financial items. Our adjusted net earnings for the first quarter were $11 million or $0.11 per share, as compared to $12.2 million or $0.12 per share for the comparable period last year. Free cash flow for the last 12 months increased by $2 million compared to the same period last year. The increase was mainly attributable to lower interest paid and an increase in adjusted EBITDA, excluding non-cash items, partially offset by higher income tax payments and higher capital expenditures excluding value added projects. 16:45 Overall our capital expenditures for the quarter were slightly lower than last year at $2.8 million compared to $4.4 million. The variance was mainly due to timing, as we expect to spend between $25 million and $30 million in 2022. Today, we're also announcing that the Board of Directors approved a payment of a $0.09 per share dividend in relation with the results of the first quarter. This is consistent with the dividends paid in previous quarters for the last several years. We are anticipating, maintaining our dividend payout practice for the foreseeable future. 17:22 In closing, I would like to reiterate that despite lower than adjusted EBITDA in the first quarter, we anticipate improvement in our 2022’s financial results over the results posted in 2021. Our expectation is supported by the recent improvements in pricing, the prospect of a good production out of our Taber facility, the stability of our operations and the current volume forecast received from our customers. We are looking forward for the next three quarters to yield results showing improved profitability for both of our business segments. 17:53 With that, I would like to turn the call back over to the operator for questions.
Operator: 18:00 Thank you. [Operator Instructions] Our first question is from Michael Van Aelst with TD Securities. Your line is open.
Michael Van Aelst: 18:19 Hi. Good morning.
Michael Walton: 18:20 Good morning, Michael.
Michael Van Aelst: 18:23 Are you having any challenges at all sourcing raw sugar given their global supply chain issues?
Michael Walton: 18:32 No. We're not having any trouble sourcing raw sugar due to global supply chain issues. We do have about in December that was delayed because of mechanical issues, but no material shortages on raws, Michael.
Michael Van Aelst: 18:47 That's good to hear. On the pricing, so when did the -- when the price increases for sugar kick in?
Jean-Sebastien Couillard: 19:01 Well, some of which started to kick in the later part of last year. And last quarter, we also I think mentioned in our outlook, we also have some other ones that are effective January 1, so we are -- part of our outlook and part of our -- I’d say the reason we feel favorable for our outlook is the fact that we have good market-based price increase that have kicked in and will kick in the new year allowing us to improve our financial results.
Michael Van Aelst: 19:34 Because you're -- I mean, when I see your gross profit per metric tonne, up as much particularly considering the mix, it looks like you're not only catching up on some cost pass-through, but getting ahead of it a little bit, is that -- does that makes sense?
Michael Walton: 19:56 Yeah, Michael. That's exactly correct. And as I reported last quarter given the market and how strong the market is on volume, our focus is now return to margin improvement and we're quite satisfied with the volume. So we're seeing the results of that approach to the business, now in the business.
Michael Van Aelst: 20:13 So should we -- are you assuming there is continued cost inflation in certain areas, whether it's logistics or labor, would you be taking more price increases or do you feel like you've already price those in for the -- your outlook for this year?
Jean-Sebastien Couillard: 20:32 Yeah. We'll continue to push on pricing where we can and remain competitive in the market and that's our focus is to make sure we're capturing the value that is available to us in the market on every negotiation as they come through.
Michael Van Aelst: 20:49 Okay. And then on the Maple side the same -- same idea like I guess in this case you didn't get the price increases early enough, but are they -- already taking effect in this quarter or are they more gradual more gradual?
Michael Walton: 21:03 More gradual, Michael. You're right, the increases in Maple, and labor and packaging and freight where more dramatic. And we've already put pricing in Maple as you've seen previously and we couldn't keep going back to the market. So as contracts come up for renewal, we'll continue the pass through those cost increases and improve our bottom line.
Michael Van Aelst: 21:24 Okay. I'll let someone ask questions. I'll get back in. Thank you.
Michael Walton: 21:29 Thank you, Michael.
Jean-Sebastien Couillard: 21:31 Thanks.
Operator: 21:30 Our next question is from George Doumet with Scotiabank. Your line is open.
George Doumet: 21:35 Yeah. Good morning, guys. I think last call you talked about a $10 million or so of onetime costs that occurred in fiscal ’21. You don't expect to recur in ‘22 for the sugar business. Can you maybe give us a sense of maybe the one-time cost related to COVID directly or indirectly that you're facing now and maybe expect to face for fiscal ‘22 just going to compare it?
Jean-Sebastien Couillard: 22:01 Our COVID costs, the normal ongoing COVID cost we had about $300,000 in the first quarter is slightly lower than last year. I think as people are learning to -- I guess live with COVID. I think to me -- to us, sorry, it's more about the volatility, it creates already less predictability creates on the market. So it's tough to put a finger on it and we talked about the $10 million, I think the biggest impact -- the biggest item in this $10 million was related to our crop in Taber. And when we're looking at our crop right now with a few weeks left in the processing campaign. I mean to harvest portion was good for us, where we have about two to three weeks. And it's the last two to three weeks are always more of a grain as we are due to weather. 22:40 But so far, we're fairly confident if we put a number, the number we put out there is 120,000 metric tonnes of sugar, we are surely approaching that number as we stand today. So when we think about the $10 million lower variance that was the biggest item, so COVID is there. We would expect -- we would have expect COVID to kind of taper off in the second, in the second part of 2022. I'd like to have a crystal ball to predict where it's going to go. It seems to me -- I mean we had a bit of a of an increase in COVID related cost just in December when Omicron hit, hopefully this is behind us and they won't be another wave, but as everybody can probably attest has not been a very, very easy thing to predict.
George Doumet: 23:36 Okay. I'm sorry nothing -- maybe on the Maple business, can you talk to how much price you would expect to take maybe for this year and would you expect margin expansion as well or is it just kind of pricing was kind of the flat volumes just trying to get a sense of maybe if there's anything else to be done on the margin side other than price.
Michael Walton: 24:01 That’s good question, George. And it's a difficult market with costs coming in as they have on packaging and freight as I said earlier, but we're going to continue to price where we can get back to the margin level that we're more comfortable with and that is the pursuit that the business is going to mandate to do so. We're going to continue to drive back to those better margin levels.
George Doumet: 24:22 Okay. And just one last point for me, when can we expect to get maybe something a little bit more definitive in terms of the valuation of the expansion opportunities for the recent Canadian operation maybe can you share some, I mean where you guys are thinking or maybe when we can get something more definitive to factor this?
Michael Walton: 24:38 That's a great question, George. Thank you for that one. Yeah, it's a big undertaking to do the evaluation. We're underway and looking at all the options. As I said last time, it's -- the discussions are advancing looking at -- we have enough network capacity for sure to supply the Canadian market, but we need to add some capacity in the east, and we're looking at what we can do with current facilities or other levers, we may have to look at too to deliver more volume to the Eastern market, competitively. In the next quarter or two, we should have more information on that, but it's an active project on our front right now.
George Doumet: 25:17 All right. Thanks, guys.
Operator: 25:21 Our next question is from Stephen MacLeod with BMO Capital Markets. Your line is open.
Stephen MacLeod: 25:26 Thank you. Good morning, guys.
Michael Walton: 25:29 Good morning, Stephen.
Stephen MacLeod: 25:31 I just wanted to ask a little bit about some of the labor impacts that you may have seen in the quarter. Sorry, I jumped on a little bit late to the call, but just wondering if you can sort of quantify or talk about sort of labor impacts that you may have had in the plants, either on the Maple or the sugar side and how that's evolved since the quarter is ended?
Michael Walton: 25:50 You're referring to COVID impacts or?
Stephen MacLeod: 25:55 So both -- I guess both COVID but also just a lot of the noise we're hearing about labor shortages. Just wondering if that's impacting you at all in the operations/
Michael Walton: 26:04 Yeah. Okay. Well, thank you. I'd like everybody in -- especially in our plant based in Quebec, but everybody in the world with COVID with Omicron we had a spike in cases and, but with the diligence at the team managers, as we said earlier in our comments, we were able to manage that we didn't have any plant shutdowns. We had some tightness on specific production lines as we allocated labor to keep core products produced, but that was an -- over a couple of weeks that Omicron took hold and we've come out of that like everybody else now. So that is overall shortage of labors as we report in our earlier comments, we did adjust labor costs in our maple business to be more competitive with the tight labor market in Quebec and since doing that we have not had resource issues for labor in our Maple plants at all.
Stephen MacLeod: 26:56 Well, that's great. Great to hear. Thank you. And then just continuing on the Maple business. You talked about, obviously some of the pricing that you didn't get in the quarter, but you expect to get as the year progresses. Can you talk a little bit about sort of how maybe what your expectation is on getting back to historical margins in that business that you referred to?
Jean-Sebastien Couillard: 27:25 JS here. Well, I think it's two things in Maple that were, it really impacted us and from a cost perspective and there was a volume perspective and when we have -- we had less volume in the first quarter than we had anticipated and it's not because we lost customers or the orders were not there. We had a hard time shipping and I think our inventory or warehouse were full and challenges we had were mainly related to logistic and finding people to move this to customers. Our order book is actually quite healthy. 27:59 From a cost perspective, we'd like to be back to double-digit margin. I think we make no bone about it. I think we have a plan to get there. I think the increase, the inflation or market-related increase as far as components, freight and labor to a certain extent are probably slowing down a bit at our way to get back to that target. But that's definitely where we're going. I think the market -- the Maple market is still strong, it might take a bit longer than we had initially anticipated but we think we'll get there in the next few quarters.
Stephen MacLeod: 28:37 Okay. Thank you. And then maybe just finally just with respect to the Eastern Canadian volume growth or capacity growth that you are referring to in the previous question, Mike. Can you just provide a little bit of color around sort of what you're seeking to solve what the capacity expansion? You mentioned that you currently already have enough capacity to serve demand in the in Eastern Canada, so I'm just curious about what the driver is for the capacity expansions?
Michael Walton: 29:11 Yeah. We're seeing continued growth in the market as everybody has seen and the production of sugar containing products that go to the U.S. is really driving demand and that the heartland of that production in Canada is Eastern Canada, primarily Ontario and Quebec. And we have network capacity with unutilized capacity in Western operations, but we're running tighter in the Eastern market and supporting the Eastern sales with moving goods from the West when it's required for spikes and seasonality in demand. 29:44 So looking at the long-term picture, it's prudent to service the business adequately to meet the customer needs as we always have. And so we're going to look at what we can do within the existing facilities to add more capacity. And then any other things that the study produces for us that would be interesting to look will discover those as we go through the process.
Stephen MacLeod: 30:10 Great. Okay. Thanks guys. Appreciate it.
Michael Walton: 30:12 Thank you.
Operator: 30:14 Our next question is from Endri Leno with National Bank. Your line is open.
Endri Leno: 30:18 Hi. Good morning. Thanks for taking my questions. A couple of me on the sugar side and then I have another couple on Maple. But on sugar, the first one, have you, when you talk with our retailers and any color you can give us on how inventories are trending? I mean if that were higher last quarter, are they back to normal at this point or are there still elevated?
Michael Walton: 30:42 Yeah. I would say they're drawing back to normal inventory as now Endri, and it's hard to peg everything in COVID as the volatility in demand has been tough to call and tough to manage for everybody including the retailers, but we've seen them -- the term we use before destocking, but they're running at a lower inventory base and that will put us back to normal with. So that should smooth sales in the quarters coming ahead versus to build up we've seen in previous years in Q1.
Endri Leno: 31:14 Okay, great. Thank you. Other question on sugar is that the customer plants are closed last quarter. Are they back online and are they at the same capacity at they were before the closures or are they still not 100%?
Michael Walton: 31:28 Yeah. Great question, Endri. Yeah, just like everybody that's running plants and we've seen in the news that get impacted with COVID outbreaks and have to slower shot, you still have the order book and so we are seeing the customers that we supply that were impacted are making up those volumes so quickly in January. So we expect everybody's back as quickly as they have full staff at full capacity.
Endri Leno: 31:52 Okay. Great, thank you. And the next one is on Maple on the cost recovery side and I know JS said a couple of quarter -- or a few quarters anyway to recover. I was wondering if you can kind of gives more color a bit in terms of the negotiations that come up. I mean, from what I recall, I think the big negotiation period and new contract, and then they all come up sort of after the harvest like I guess late spring. I was wondering, do you expect more action on those margin recoveries after that time or should we expect something even before, I'd like you that the upcoming quarter in Q2?
Michael Walton: 32:28 That's a great question, Endri. And, yes, you're correct, the majority of the contracts are on the crop cycle. So after the crop has done there's when most of the contracts are many of the contracts come up for negotiation. However, we've been very active and prudent with our customers and the pricing and where we can and when we have some contracts that have come up for renewal. We've applied pricing increases as they came through.
Endri Leno: 32:52 Okay. Great. That's it for me. Thank you.
Michael Walton: 32:56 Thank you, Endri.
Operator: 32:57 Our next question is from Frederic Tremblay with Desjardins. Your line is open.
Frederic Tremblay: 33:03 Thank you. Good morning.
Michael Walton: 33:04 Good morning, Fred.
Frederic Tremblay: 33:06 Given the tight labor environment, I think there's an opportunity to maybe drive incremental efficiencies and optimization in your Maple bottling plants. I'm just curious to see if there is other levers defined pricing to improve margins there?
Michael Walton: 33:22 Fred, that's a great question and we are active on that very file (ph). As you know, we spent money in modernizing the Maple business when we acquired it. And we have an ongoing capital project in the Maple plans to look at solutions for just exactly what you've talked about.
Frederic Tremblay: 33:39 Okay, great. And then, just sticking with Maple here I was wondering, if you could comment on competitive dynamics and sort of, if you view the market as being disciplined on the moment as you approach some of those additional negotiations with customers.
Michael Walton: 33:56 Yeah, it's always. Thank you. That hits. It's always a competitive market for sure and the dynamics have changed because I think people are most people in the Maple business are heading with -- getting hit with cost pressures faster than anybody would have thought, especially on international freight and so it remains competitive, I wouldn't never use the word disciplined in the maple industry. I'd say it's actively competitive.
Frederic Tremblay: 34:23 Great, Thanks for the color.
Michael Walton: 34:28 Thank you.
Operator: 34:27 Our next question is from Michael Van Aelst with TD Securities. Your line is open.
Michael Van Aelst: 34:32 Hi, there. Just a few follow-up clarifications, you mentioned that the by-product revenues were up a lot in the quarter, how do we tell the difference between how much of that is volume shift into the quarter and how much of that is pricing increase? In other words how do we, how should we look forward for the next few quarters on a year-over-year basis?
Jean-Sebastien Couillard: 35:02 I'd say when you look at the variance overall, our sugar margin was down about $2 million take the average of the volume, but I think probably half of it was, most of it was, but you probably recover, half of it through the price increase. So the volume impact would have been significantly higher, if we didn't have the price increase as we move along. And so we are expecting this price increase to compound for the rest of the year and help us catch-up on that shortfall we had in the first quarter.
Michael Van Aelst: 35:38 So are you willing to give us an idea of how much more year-over-year improvement, we should expect from by-products this year?
Jean-Sebastien Couillard: 35:45 From a by-product standpoint, we think that the trend that we've seen in the first quarter it will carry on for the rest of the year.
Michael Van Aelst: 35:50 Profit $2.7 million higher each quarter.
Jean-Sebastien Couillard: 35:54 No, but you know there is significant volume in the first quarter without giving a number. So I think we'll be, I would say probably be a couple of millions more than we were in the past.
Michael Van Aelst: 36:11 Okay, that's great. And then the stock based comp how much was the increase in stock-based comp in the quarter?
Jean-Sebastien Couillard: 36:18 Just under $2 million.
Michael Van Aelst: 36:23 Perfect. All right. Thank you.
Jean-Sebastien Couillard: 36:26 Thank you, Michael.
Operator: 36:26 We have no further questions at this time, I'll turn the call back to the presenters.
Michael Walton: 36:33 Okay. Thank you very much everybody and we'll look forward to speaking to you next quarter.
Operator: 36:39 Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.